Operator: Greetings, and welcome to the ProFrac 2Q '25 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Messina, Director of Finance. Thank you, sir. You may begin.
Michael Messina: Thank you, operator. Good morning, everyone. Thank you for joining us for ProFrac Holding Corp.'s conference call and webcast to review our results for the second quarter ended June 30, 2025. With me today are Matt Wilks, Executive Chairman; Ladd Wilks, Chief Executive Officer; and Austin Harbour, Chief Financial Officer. Following my remarks, management will provide high-level commentary on the operational and financial highlights of the quarter before opening up the call to your questions. A replay of today's call will be made available by webcast on the company's website at pfholdingscorp.com. More information on how to access the replay is included in the company's earnings release. Please note that information reported on this call speaks only as of today, August 7, 2025. And therefore, you are advised that any time-sensitive information may no longer be accurate at the time of any subsequent replay listening or transcript reading. Also, comments on this call may contain forward-looking statements within the meaning of the United States federal securities laws, including management's expectations of future financial and business performance. These forward-looking statements reflect the current views of ProFrac's management and are not guarantees of future performance. Various risks, uncertainties and contingencies could cause actual results, performance or achievements to differ materially from those expressed in management's forward-looking statements. The listener or reader is encouraged to read ProFrac's Form 10-K and other filings with the Securities and Exchange Commission, which can be found at sec.gov or on the company's Investor Relations website section under the SEC Filings tab to understand those risks, uncertainties and contingencies. The comments today also include certain non-GAAP financial measures as well as other adjusted figures to exclude the contribution of Flotek. Additional details and reconciliations to the most directly comparable, consolidated and GAAP financial measures are included in the quarterly earnings press release, which can be found at sec.gov and on the company's website. And now I would like to turn the call over to ProFrac's Executive Chairman, Mr. Matt Wilks.
Matthew D. Wilks: Thank you, Michael, and good morning to all. I'll begin with brief remarks, then turn it over to Ladd to elaborate on segment performance and key trends; and Austin will run through our second quarter financials. Q2 performance unfolded largely as anticipated based on the outlook we provided during our May earnings call. As we discussed, the market dynamics that emerged early in the quarter, particularly the sharp decline in commodity prices in early April led operators across our customer base to reassess their near-term completion requirements with several adjusting their activity levels to varying degrees. That said, we are encouraged to see the market -- that market conditions have modestly improved compared to our Q2 exit level. Commodity prices have firmed since early Q2, some crews have gone back to work, and we are having healthy dialogue with our customers around 2026 planning. This aligns with our previous observation that operators who reduced activity maintain the flexibility to quickly resume operations when conditions improve. Importantly, we continue to believe that today's hydraulic fracturing market dynamics create a compelling setup for the future with industry participants exercising capital discipline in response to current economic conditions and uncertainty. We see the potential for meaningful tightening in supply/demand should drilling and completion activity accelerate in response to improved commodity fundamentals in 2026. Turning to our core competitive advantages, the controllable factors that truly set us apart in the marketplace. Our vertically integrated manufacturing capabilities combined with our sophisticated asset management platform represent fundamental differentiators that provide both strategic agility and tangible financial value. Our asset management program is generating exceptional results. The strategic deployment of our 6 fleets under this program delivered our most efficient operational quarter on record in Q1 in terms of fleet efficiency and total maintenance costs. This integrated approach proved particularly valuable during recent market volatility with our ability to dynamically redeploy assets and adjust maintenance schedules, providing crucial operational flexibility. Despite the fact that demands on our equipment have significantly grown over time, our asset reliability and pumping performance are the most efficient they have ever been, enabling us to extend uptime on our equipment and reduce overall failures. We believe this is directly attributable to our best-in-class personnel in addition to our asset management and frac automation, both of which were internally conceptualized, designed, developed and successfully implemented. Our in-house manufacturing platform delivers substantial cost advantages, enabling us to build new fleets, upgrade legacy equipment to next-generation specifications and standardize previously acquired assets, all at costs below third-party alternatives. This internal capability spans a significant portion of our equipment portfolio, providing control over standards for quality, uniformity and deployment time lines. However, our competitive moat extends well beyond repair and maintenance and manufacturing. Our technology leadership continues to drive measurable operational improvements and sustainable competitive advantages. Our ProPilot platform exemplifies this commitment, delivering transformational improvements in automated fracturing operations. In the early days of ProPilot 1.0, the platform immediately provided significant operational benefits in frac automation, namely by enabling automated pump control and frac scheduling. With automated pump control functionality, we were able to quickly reduce the manual inputs required to complete the well, enhancing decision-making and allowing for faster stage completions. The frac scheduler functionality was also an early game changer for the platform, integrating completion designs into the automation software to ensure stages are consistently completed to the design. But we didn't stop there and are excited about the further evolution of the ProPilot platform to its next phase. ProPilot 2.0. With 2.0, a number of new functionalities have improved the platform to enhance completion automation frac operations, including horsepower optimization, dual fuel optimization, interlocking load balancing and one-click fully automated stage completions. In summary, the expanded functionality of ProPilot 2.0 drives productivity higher by automatically maintaining pumps at peak performance and efficiency while also minimizing wear and tear on equipment. It can automatically optimize fuel economy, that's total fuel and gas substitution rates. 2.0's automated load balancing system monitors pump health in real time, detects anomalies, delivers and executes proactive recommendations to maintain steady performance and prevents rate fluctuations. Combined, these functionalities enable fully automated frac operations, eliminating the guesswork associated with diagnosing equipment and well feedback issues. The benefits of ProPilot 2.0 are tangible, measurable and benefit both ProFrac and our customers. New and exciting expansions of the platform and ProPilot utility are also underway, which we plan to roll out in the near future. Simply put, intelligent automation delivers both speed and operational simplicity while driving superior well results, enhanced cost control, increased uptime and greater reliability. Our innovation pipeline runs deep. Our iO-TEQ platform transforms operational intelligence by consolidating multisource data streams for real-time edge decisions while enabling cloud-based analytics and machine learning capabilities. This integration optimizes data utilization, streamlines workflows and drives cost reductions across our entire operation. Further, through Flotek, the JP3 technology continues its expansion with Verax analyzers attracting strong interest across market segments from independent producers to multinational corporations with global refinery operations. We believe our ability to develop, test and deploy advanced technologies in-house at a fraction of third-party costs and on accelerated time lines provides us with a decisive competitive edge. Turning to proppant production. We see opportunities for growth and improved performance across our key operating regions. We maintain a strong market position in the Haynesville region, where we offer dry and damp sand and anticipate that increased natural gas activity will drive improved performance. In addition, our ongoing throughput improvements in South Texas position us well to meet potential demand growth. Moving to our strategic initiatives and other differentiating value creators. During the second quarter, we entered into an innovative partnership with Flotek Industries. This transaction represents far more than a simple asset sale. By transferring what was essentially a cost center within ProFrac to Flotek, where these assets can be leveraged across a much broader market, we believe we have unlocked significant value that the market simply didn't recognize within our structure. These assets, which include patented gas monitoring and conditioning technology form the foundation of Flotek's new PWRtek division. We received immediate financial benefits, including over 60% of the pro forma fully diluted equity ownership of Flotek Industries. This gives us substantial exposure to a company that is levered to what we believe is a $3 billion to $6 billion global addressable market for gas quality management, spanning oil and gas, data centers, refineries and other natural gas applications. This partnership transforms assets that were previously limited to our internal operations into a scalable third-party business model that can serve the broader energy infrastructure market. It's a perfect example of how we're thinking creatively about capital allocation and value creation for our shareholders. Finally, I want to touch on our power generation strategy, which positions us uniquely in the rapidly expanding data center and power infrastructure market. Unlike traditional equipment rental models, our approach focuses on bespoke holistic powered-land opportunities that leverage our core competencies in project execution and infrastructure development. Our competitive advantage centers on our ability to accelerate access to electrons at scale. Ladd will provide more color on this as well as the other themes I just touched on. In Q2, we generated revenues of $502 million, adjusted EBITDA of $79 million and free cash flow of $54 million. This compares with revenues of $600 million and adjusted EBITDA of $130 million and free cash flow of negative $14 million in Q1. While these results are a product of the market headwinds we experienced, they also reflect our ability to maintain operational excellence and generate meaningful free cash flow despite challenging conditions. In summary, Q2 results, including generating $54 million of free cash flow largely aligned with our May outlook as activity was negatively impacted by both macroeconomic and commodity price volatility. Recent signs are encouraging as crews have returned to work and customer dialogue around future planning for 2026 intensifies. We delivered strong operational performance through strategic asset allocation with our vertically integrated manufacturing capabilities and sophisticated asset management platform providing crucial flexibility during periods of market volatility. Our technology leadership continues to deliver measurable competitive advantages with our ProPilot platform driving breakthrough advances in frac automation. Our innovative partnership with Flotek unlocked immediate value while positioning us with significant ownership in a company levered to a multibillion-dollar global addressable market for gas quality management and asset integrity solutions. We continue to see opportunities in proppant production, in particular, in the Haynesville region, where we expect increased natural gas activity to drive improved performance. Further, strategic investments position us well for the South Texas demand. And finally, we maintain our disciplined approach to capital allocation while positioning ourselves for potential tightening in the market in early 2026. Ladd, over to you.
Johnathan Ladd Wilks: Thanks, Matt, and good morning, everyone. I'll provide a more granular detail on several themes Matt touched on, starting with our operational performance during the quarter. In Stimulation Services, we experienced the market dynamics Matt described with increased white space on the calendar following the early quarter oil price decline and activity levels decreasing in the Q2 end. We responded through our flexible fleet deployment capabilities and implemented cost reduction measures beginning in mid-May, though the full benefit didn't flow through until later in the period due to timing lags. The cost reduction process was impacted by some operational inefficiencies, including extended delays between pads that required us to maintain labor, equipment rentals and other semi-variable costs, limiting our ability to achieve immediate savings. Consistent with Matt's observations regarding the current market, our active fleet count stabilized near the end of the second quarter and into early Q3, and we've seen modest improvement in activity since then. We've been purposely selective in deploying the fleets in this environment with an emphasis on taking advantage of our vertical integrated solutions. Further, we're being prudent with spending and capital allocation amidst the current environment while retaining flexibility to respond to an increased call on activity. As Matt mentioned, activity can rebound just as rapidly as it slowed. We are well positioned to respond and encouraged by conversations we're having regarding 2026. Turning to our Proppant Production segment. We saw volumes decline during the second quarter into June. We anticipate volumes to remain relatively stable in the third quarter from our June run rate, while realized cost savings helping to offset the expected decline in revenues in the third quarter. As we've spoken about in the past, the operating leverage inherent in our proppant business becomes increasingly evident as we drive higher utilization rates, and we expect this segment to be a meaningful contributor to our overall performance as activity recovers. We anticipate increased demand next year in the Haynesville, and we are very well positioned with as much as 13 million tons of damp sand capacity or 8 million tons of dry sand capacity. Meanwhile, building on Matt's comments about our South Texas asset, initiatives to increase throughput are underway. I'm deeply grateful to our team across all our businesses for their dedication, persistence and excellent work, which enable us to deliver a strong performance. Jumping into our various differentiators. I'd like to start by highlighting continued progress with our asset management program, which remains a key driver of our operational improvements and capital efficiency initiatives. This program is fundamentally designed around maintaining firm cost control, maximizing utilization and efficiencies and rapidly deploying high-quality fleets. We are seeing tangible results from our improved coordination across maintenance facilities. This enhanced coordination has enabled a better inventory management and standardized repair practices, directly contributing to faster turnaround times and reduced waste. Since implementing our asset management platform, we've achieved a steady increase in pumping hours on our fleet, while at the same time, a reduction in equipment failures and nonproductive time. As Matt mentioned, asset management is also responsible for our improved ability to rapidly activate incremental high-quality fleets. This allows us to remain nimble to capture emerging opportunities in the market. In Q1, we activated 5 fleets. And so far in Q3, we've activated 3 fleets. The financial impact is clear, and we expect to continue reducing total maintenance costs per pump hour as we build on these operational improvements. Regarding our Flotek partnership, I'd like to provide some additional operational context on the significant transaction and its implications for our business. The assets consist of 30 highly sophisticated mobile units, 15 gas filtration and conditioning units paired with 15 gas distribution units. Each pairing can support 1 electric fleet or equivalent operation. These aren't just standard equipment. They incorporate patented real-time BTU monitoring technology that automatically manages off-spec gas, preventing catastrophic equipment shutdowns while maintaining operational continuity. What makes this technology particularly valuable is its versatility. While we developed the use case specifically for our frac operations, the applications extend far beyond our industry to midstream operations, compressor stations, data centers, refineries and essentially any industry that consumes or works with natural gas. As Matt noted, keeping these assets within ProFrac limited their potential value. By placing these assets with Flotek, we've highlighted a pure-play technology platform that can scale across multiple end markets. The transaction structure provides us with multiple benefits, namely meaningful potential upside through our over 60% pro forma fully diluted ownership in Flotek equity. Now let me take a moment to overview our differentiated power generation strategy and elaborate on the operational aspects of this initiative. While the equipment rental model is viable, we believe it does not fully take advantage of our expertise and existing partnerships. We are primarily targeting real property with redundant infrastructure, specifically for the data center market. Our view is that the technology and solutions developed on the completions industry carry over well for solving many of the issues that are currently presented by the meaningful demand of power assets. This strategic focus should enable us to generate revenues that are decoupled from the volatility of the completions industry. Our power generation strategy creates synergy opportunities through collaboration between our mobile power generation solutions and the acceleration of power delivery at target sites. With various opportunities in front of us, we hope to be in a position to further update you in the future. Finally, on capital allocation, we're executing effectively on our flexible approach. Last quarter, we identified approximately $70 million to $100 million of potential CapEx reductions enabled by our disciplined approach to asset management while aligning with evolving market conditions. We're pleased to report we're trending in line with our previously cited reductions. We now expect capital expenditures to be between $175 million and $225 million for 2025. I'll now hand the call over to Austin to cover our financial results in more detail.
Austin Harbour: Thanks, Ladd. In the second quarter, revenues were $502 million compared to $600 million in the first quarter. We generated $79 million of adjusted EBITDA with an adjusted EBITDA margin of 16% compared to $130 million in the first quarter or 22% of revenue. Importantly, free cash flow was $54 million in the second quarter versus negative $14 million in the first quarter. As mentioned earlier, we took actions to rightsize costs in response to market conditions. However, the timing of the activity slowdown mitigated the full impact of our initiatives until later in the second quarter. Turning to our segments. Stimulation Services revenues declined to $432 million in the second quarter from $525 million in the first quarter, primarily due to a reduced fleet count and increased white space. Adjusted EBITDA fell to $51 million from $105 million in Q1 with margins of 12% versus 20% in the prior quarter. This decline reflects inefficiencies stemming from customers moderating their activity levels as they reassess their operational plans, resulting in a delay in reducing operating costs until later in the quarter. Additionally, this segment incurred approximately $8 million in shortfall expenses related to our supply agreement with Flotek, consistent with the previous quarter. Our Proppant Production segment generated $78 million of revenues in the second quarter, up from $67 million in Q1. The increase was primarily attributable to an increase in delivered sand sales, which more than offset the impact of lower volumes. Approximately 48% of volumes were sold to third-party customers during the second quarter versus 63% in Q1. Adjusted EBITDA for the Proppant Production segment was $15 million for the second quarter versus $18 million in Q1. EBITDA margins came in at 19% in the second quarter versus 27% in Q1, with the decline largely reflecting the lower volumes and the impact of the large step-up in intercompany sales. We're actively investing to enhance mine productivity and optimize our sourcing mix to improve these dynamics going forward. Our Manufacturing segment generated second quarter revenues of $56 million versus $66 million in Q1. Approximately 78% of segment revenues were generated via intercompany sales compared with 87% in Q1. The nearly $4 million sequential increase in external sales drove an adjusted EBITDA improvement of more than $3 million. Selling, general and administrative expenses were $51 million in the second quarter, improved from $54 million in the first quarter as we remain focused on cost controls. Cash capital expenditures decreased to $47 million in the second quarter from $53 million in the first quarter, totaling $99 million for the first half of 2025. With efficient capital allocation driven by our asset management platform, we are revising our annual CapEx guidance down to $175 million to $225 million. Our revised guidance is in line with our initial estimate of $70 million to $100 million in capital expenditure reductions for 2025. Second quarter spending primarily encompassed maintenance on our fleets, continued upgrades and expansion at Alpine designed to increase quality and throughput at the mines. While these savings partly reflect lower activity levels versus our outlook earlier in the year, they also demonstrate the real progress of our asset management program. This program is delivering tangible savings while enhancing operational quality. Total cash and cash equivalents as of June 30, 2025, were approximately $26 million, including approximately $5 million attributable to Flotek. Total liquidity at quarter end was approximately $108 million, including $87 million available under the ABL. Borrowings under the ABL credit facility ended the quarter at $164 million, an improvement of $41 million from March 31. At June 30, we had approximately $1.11 billion of debt outstanding with the majority not due until 2029. We repaid approximately $29 million of long-term debt in the second quarter and intend to continue to use free cash flow in future periods to deleverage. Late in the second quarter, we took several strategic steps to enhance our liquidity position and financial flexibility. We successfully executed a series of transactions that are expected to provide approximately $90 million in incremental liquidity through 2025. These actions included the issuance of $20 million in additional 2029 senior notes during the second quarter with commitments for 2 additional $20 million issuances at the company's option in the third and fourth quarters, respectively, for a total of $60 million. The initial issuance was purchased by our long-term partners, the Wilks family affiliates, demonstrating their continued confidence in our business. We also amended our Alpine term loan agreement, resulting in a $30 million reduction in our quarterly amortization payments for 2025. Additionally, we successfully negotiated the deferral of the total net leverage ratio test on the Alpine term loan to the first quarter of 2027, providing us with enhanced flexibility to navigate current market conditions. These proactive measures strengthened our balance sheet and provide us with additional financial resources to execute our business strategy while maintaining our focus on disciplined capital allocation. Lastly, on the Flotek transaction, we conveyed our mobile gas conditioning units and 6-year lease in exchange for warrants on 6 million Flotek shares, offset mechanisms for order shortfall payments under our chemical supply agreement and issued a $40 million 5-year seller note at 10%. This transaction strengthened our strategic partnership while providing meaningful financial benefits. Our 60% plus pro forma fully diluted ownership in Flotek has resulted in material incremental value subsequent to the transaction closing in late April. In closing, we are excited to report robust free cash flow generation in the second quarter, coupled with a series of strategic initiatives that generated significant incremental value, including the Flotek transaction, successful operational execution in the field and via our asset management platform, technological innovation in ProPilot and at iO-TEQ, and enhanced liquidity and financial flexibility via the new notes issuance and term loan amendment. That concludes our prepared comments. Operator, please open the line for questions. Thank you.
Operator: [Operator Instructions] The first question comes from John Daniel with Daniel Energy.
John Matthew Daniel: Matt, I was -- the comment about the increasing customer engagement around 2026. I'm sure -- I would assume nothing is set in stone. But I'm just curious, do you feel like the engagement is higher activity than where we are today? Or can you just elaborate a little bit more on what they're asking for?
Matthew D. Wilks: Yes, definitely. We're seeing a lot more engagement around the 2026 programs for operators. We saw a pretty sharp drop off after Liberation Day. And since then, a lot of the operators that have slowed activity have started coming back, looking at what they need to do to bring some of them back. Some of them have already come back. But as we look at the RFP season and planning for 2026, we're seeing an increase to current activity levels.
John Matthew Daniel: Okay. And then just on the increased activity since the late June, early July trough. Can you just give some context whether, is that more gas directed or just folks in oil markets going back to work with the rebound in oil price? Just any color there would be helpful.
Matthew D. Wilks: Yes. It's really across gas and oil. But it's -- the Permian, not quite as much of an increase as what we're seeing on gas, but there is an uptick from -- especially from the lows that we saw in June.
Operator: Thank you. At this time, I would like to turn the call back to Matt Wilks for closing comments.
Matthew D. Wilks: We're grateful for your time today. While Q2 reflected the market headwinds we discussed on our last call, our vertically-integrated manufacturing capabilities, advanced asset management platform and technology leadership through initiatives such as ProPilot 2.0 continue to differentiate us competitively. Our strategic Flotek partnership has unlocked value and is providing us with exposure to a multibillion-dollar addressable market. And our disciplined capital allocation approach ensures we're well positioned for the supply and demand tightening we expect when activity accelerates. With healthy customer dialogues around 2026 planning, we remain confident in our ability to capitalize on improving conditions. We look forward to speaking with you again when we report our third quarter 2025 results. Thank you.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.